Operator: Good day, and welcome to the TransAct Technologies Third Quarter 2021 Conference Call. Today's conference is being recorded. At this time, I’d like to turn the conference over to Mr. Ryan Gardella. Please go ahead, sir.
Ryan Gardella: Thank you. Good afternoon and welcome to TransAct Technologies third quarter 2021 earnings call. Today, we'll be discussing the results announced in our press release issued after market close. Joining us today from the company are Chairman and CEO, Bart Shuldman; and President and CFO, Steve DeMartino. Today's call will include a discussion of the Company's key operating strategies, progress on these initiatives and details on the third quarter financial results. We will then open the call to participants for questions. As a reminder, this conference call contains statements about future events and expectations, which are forward-looking in nature. Statements on this call may be deemed as forward-looking and actual results may differ materially. For a full list of risks inherent to the business and the Company, please refer to the Company's SEC filings, including its reports on Form 10-K and 10-Q. TransAct undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances that occur after this call. Today's call and webcast will include non-GAAP financial measures within the meaning of SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measure calculated and presented in accordance with GAAP can be found in today's press release, as well as on the Company's website. And with that, I'll turn the call over to Bart.
Bart Shuldman: Thank you. Ryan, and that was very quick. Thank Ryan and thank you everyone joining us on the call today.  Our third quarter results marked an important point in our business as we posted our highest net sales number since the fourth quarter of 2019. This was accomplished through a combination of sustained momentum in BOHA! And our food service technology market as a whole, as well as major rebounds in our casino and gaming market, which I will elaborate on shortly.  As Steve will discuss in detail later, our preliminary third quarter total net revenue was $10.6 million representing a 46% gain year-over-year and as I just mentioned, our highest number since the fourth quarter of 2019. We also recorded net income of $910,000 and an adjusted EBITDA loss of $1.2 million.  We’ll now let’s discuss some of the results in our key markets. First up is our food service technology or FST market. Our total FST revenue had another all-time high in the quarter, up 40% year-over-year to $3.3 million. Our FST recurring revenue, which includes software subscriptions, labels and service also showed strength with our second consecutive quarter of at least $2 million in recurring revenue and represents a 28% increase from the year prior period.  As of important note, in September, we’ve recorded our highest revenue month for FST software and label sales as the Delta variant started to subside. Those sales started to accelerate in September and both software and label sales have continued to expand in October. Year-to-date, we have now generated $5.3 million in FST recurring revenue versus our guidance of at least $7 million for the full year of 2021.  Barring anything outside our control, we should easily achieve this $7 million number that we provided. As our terminal base expands, this leads to higher FST recurring revenue, which we expect to be accretive to our gross margin in 2022 and beyond.  Moving on to our terminal base, we added an additional 807 paid terminals in the third quarter for a total of 8,749 in the market. That represents an additional 3,061 paid terminals in the marketplace so far in 2021. As I have mentioned on previous calls, hardware sales in the number of paid terminals in the market are the lifeblood of our recurring revenue stream as we increase the number of terminals in the marketplace, our recurring revenue will grow exponentially.  Fueling a predictable stream of FST revenue, while we have many existing projects and new opportunities underway, we are unfortunately encountering some unforeseen headwinds in our new terminal installations due to the dire situation – due to the dire labor situation in the hospitality market and products shortages, especially with restaurants and convenience stores.  We are hearing from several prospective and existing BOHA! customers as they simply do not have personnel available right now to work on new technology installations as they work to improve their supply chain situation and their labor shortage issues.  I’d like to emphasize that this does not mean these opportunities are disappearing, but the timing of these potential deals has simply been pushed out. As a result, this labor and food shortage issue has created a modest headwind in the timing of adoption of our technology and we are now expecting our installed base – terminal base for 2021 to be in the low end of our previous guidance of 10,000 to 11,000.  However, we believe these issues and challenges provide a huge opportunity for the recognition of the importance of our BOHA! system and its ability to provide labor hour savings and efficiencies in the backhouse of restaurants and with convenience stores fresh food programs.  So, when the labor and food shortage situations begin to improve, we are well positioned to capitalize on this opportunity as our technology is already being evaluated with BOHA! workstations and terminals underway are about to begin.  Let me tell you, our phones continue to ring and we continue to add new prospects for the future potential business. Next, I wanted to provide you with an update on our ARPU. For the third quarter 2021, our ARPU fell slightly sequentially to $1,016 per terminal versus $1,179 in the second quarter of 2021.  While part of the reason for the decline was due to the impact of the Delta variant early in the quarter as I previously said, we had our best month ever in September for FST recurring revenue and it has continued into October.  As I have mentioned previously during our investor calls, we have a strong relationship with the convenience store chain 7-Eleven and they continue to order more terminals to be installed in their stores as they focus on expanding their fresh food initiatives. Each store requires some construction changes to add fresh food capabilities and includes the installation of the BOHA! terminal.  While we will not be providing a quarterly update on the penetration of the 7-Eleven stores, we will remind you that the terminal install opportunity for this year is about 2,000 total terminals and the remaining amount of terminals for us to ship is about 7,000.  I am very encouraged by the many opportunities in our FST pipeline despite the labor and food shortage issues in the market and continue to be impressed with our relationship with Apple as we both work to win in the restaurant market.  Now, let’s move on to our casino and gaming business. Revenue in the quarter was $4 million, up fully 100% year-over-year and 16% sequentially. The continued strength in our casino business has been fueled largely by momentum in the domestic casino floor spending. We are seeing a very solid return to slot machine and EGT’s growth on to the casino floors across the country as pent-up demand forming has an outlet to be realized. We expect the casino and gaming industry to continue to ramp up spending through the remainder of 2021 and well into 2022.  Finally, I wanted to talk specifically about some of the challenges, almost every business faces today. First I am sure everyone is aware that we have a major shortage of workers that is affecting a number of industries, but perhaps none is badly as the service industry and especially restaurants and convenience stores.  As I said, this is creating a headwind to the timing of some BOHA! deals due to the inability to assign lease sources to train and assess the capability on our platform as I mentioned earlier.  Second, we have seen widespread supply chain issues affecting primarily technology, manufacturing and unfortunately, we have not been immune to these. While our BOHA! terminals and workstations have not been affected by these problems, our 9,700 food service terminals primarily for McDonald’s which falls under FST revenue and our Epic 950, and Epic Edge gaming printers, as well as our Ithaca 9000 POS printers have.  We are working diligently to ensure the impact of these delays is minimized by every method possible including buying parts on the spot market, which usually means paying more for these parts. These higher material costs combined with the current elevated shipping prices could have a short-term downward effect on the margin of our hardware sales.  However, we have taken steps to mitigate these cost increases including raising our prices. We are working hard to be able to ship every order we receive but we could run out of product especially if the market continues to rapidly expand for our technology and products.  I would like to end this discussion by saying if we must push any order into 2022, we do not believe we will lose any of these sales. Remember, any competitor of ours is facing the same issues and we believe we entered this part shortage phase with much more inventory than most of our competitors.  Before I turn the call to Steve to give you details about our financial performance, I’d like to take the time to thank the employees at TransAct for all they did during the – one of the most difficult times in the country’s history, but also in their lives also. Two industries devastated by COVID-19 pandemic were restaurants and casinos. So much went on inside of TransAct.  I just want to thank every employee for all you did to get us through these difficulties. Not only did these wonderful employees dedicated to TransAct, but we also worked together to get our offices open, so we could get back to meetings and discussions in the office and off the video. Our offices are now open. 100% of our employees are vaccinated and it’s great to see the interaction between the teams once again.  I cannot thank the TransAct employees more. You are wonderful.  And with that, I’d like to turn the call over to Steve to go over our results in detail. Steve? 
Steve DeMartino : Thanks, Bart. Let's turn to our third quarter results in detail now. Total net sales were $10.6 million, which was up 46% from $7.3 million in the third quarter of 2020. Sales from our food service technology market or FST were up to $3.3 million, a 40% increase from $2.3 million in the third quarter of 2020. FST hardware sales increased 64% to $1.3 million from $771,000 a year ago period. We added 807 paid terminals during the quarter and we finished with a total of 8,749 in the market.  Our recurring FST sales, which include software and service subscriptions, as well as consumable label sales were $2 million, which was up 28% from the $1.6 million reported in the prior year period. As Bart mentioned, our recurring revenue is a function of how many paid terminals we have in service and as those numbers continue to climb, so too will our label sales and our other recurring revenue. As we mentioned last quarter, given that we're in the early stages of building our installed base of terminals, our ARPU will likely fluctuate quarter-to-quarter based on the size of individual software, label and service orders and the timing of terminals shipped. As a reminder, we changed how we calculate ARPU to reduce the noise around the number.  We now calculate ARPU by annualizing the quarter’s recurring revenue and then dividing that number by the number of paid terminals in service at the end of the prior quarter. Using this method, our ARPU for the third quarter 2021 was $1,016, which was down from $1,179 in the second quarter of 2021.  Our casino and gaming sales were $4 million, up 100% from the third quarter of 2020 and up 16% sequentially. We are continuing to see improvements towards our pre-pandemic level of quarterly sales for the casino and gaming market with a particular strength in the domestic market that was up 71% from the third quarter last year.  Our international casino and gaming sales also improved to $1.4 million, which was more than tripling the sales, compared to the COVID affected third quarter of 2020. We expect this recovery to continue as the pandemic-related slow down begin to subside.  POS automation sales were up 60% to $1.2 million from the prior year period. The increase is mainly attributable to higher sales of Ithaca 9000 printers to McDonald's, as sales recovered from the pandemic depressed levels.  Turning to Printrex sales, revenues were $160,000, which was up 50% from the third quarter of last year. While we continue to deemphasize Printrex sales, we still continue to fulfill orders from our legacy customers as the industry recovers from the impact of COVID-19.  On to Transact Services Group or TSG. Overall, TSG sales were down $122,000 or 6% to $2 million. This was due mostly to lower sales of legacy POS paper and service contracts on our legacy banking printers. Keep in mind, we are no longer posting products in this market and expect our TSG revenue to decline over time.  Turning to our gross margin, our third quarter gross margin was 40.6%, as compared to 45.9% in the prior year period. Gross margin this quarter was impacted by lower margin on sales of BOHA! terminals, as well as higher material and shipping cost resulting from the worldwide supply disruptions and shortages caused by the pandemic.  This was partially offset by 46% higher overall sales volume including significantly higher casino and gaming printer sales, which are a higher margin products, as well as higher FST recurring revenue. As a reminder, we decided to reduce our margin on BOHA! hardware products, accelerate the growth of our installed base of terminals to drive more lucrative FST recurring revenue such as software subscriptions service and labels.  We should see a favorable impact on gross margin over the longer term as recurring revenue grows to become a larger percentage of our overall sales.  As we move down the income statement, operating expenses for the third quarter increased $1.1 million or 23% to $5.9 million, when compared to the third quarter of last year. Our engineering expenses were up due to the hiring of additional software developers and expenses incurred for continued BOHA! software development projects paid to our third-party development firm.  Our selling and marketing expenses also rose as we hired new sales and marketing staff, increased marketing programs to promote and support BOHA! and incurred higher sales commissions and travel expenses as sales and travel both began to return to more normalized levels.  As a reminder, Q3 last year reflected lower COVID impacted levels of spending and 2021 marks a spending ramp that began in the third quarter and will continue into Q4 and into next year.  To further breakdown our operating expenses for the third quarter, our engineering expenses were up 30% to $1.9 million. Our selling and marketing expenses were up 51% to $1.9 million and our G&A expenses were essentially flat of less than 1% to $2.1 million. We incurred an operating loss of $1.6 million or 15.1% of net sales in the third quarter of 2-21, which compares to an operating loss of $1.5 million or 20.3% of net sales in the third quarter of 2020.  Though I don’t normally speak about our other income line item, during the third quarter of 2021, our $2.2 million PPP loan from the SBA under the CARES ACT was formally forgiven. As a result, we eliminated this outstanding debt from our balance sheet and recognized the $2.2 million gain as other income in the quarter.  On the bottom-line, we recorded net income of $910,000 or $0.09 per diluted share in the third quarter of 2021, compared to a net loss of $867,000 or $0.11 in the year ago period. After removing the $2.2 million gain from the forgiveness of the PPP loan, we incurred an adjusted net loss during the third quarter of 2021 of $1.3 million or $0.13 per diluted share.  Adjusted EBITDA for the third quarter of 2021, after removing the effect of the PPP loan forgiveness, was a negative $1.2 million, which compares to negative $869,000 in the year-ago period.  And one final item I’d like to mention. We enhanced our liquidity position during the third quarter by completing our second capital raise in August. Through an underwritten public offering, we sold approximately 842,000 shares of our common stock generating net proceeds of approximately $11.3 million after deducting all underwriting and other related expenses.  As a result, we ended the third quarter of 2021 with a solid balance sheet including $18.7 million in cash and no debt outstanding.  And at this point, I’d like to turn the call back over to Bart for closing remarks. Bart? 
Bart Shuldman: Yes. Thanks, Steve. Nicely done. Operator, at this time we’ll open up the call to questions. 
Operator:  We’ll take our first question from George Sutton with Craig-Hallum. Please go ahead. 
George Sutton: Thank you. Bart, I wondered if you could quantify the labor issues relative to the installed side and then, on the other side of that, talk about the impact in demand that you are seeing because of those supply issues from your customers? 
Bart Shuldman: So, on the installation side, clearly, we have one big customer that’s installing terminals every quarter. And they face the issue of part shortages and oven shortages and construction delays and all that. So, we are all just working through that. We still think we will ship 2,000 terminals this year to them. I think the biggest thing, George, is, we are hearing from two groups of customers.  The convenience store market is hot right now, because the fresh food program seems to be taking hold and I would – when I look at the opportunities that we are working on right now, we’ve got a lot of big opportunities in the convenience store market. They are – if they haven’t got into fresh foods yet, they are playing catch-up and they need a labeling solution. But the interesting thing is they are also looking at other software to help them as they roll out a labeling solution. So, that market has become ripe for new orders for us. So, it’s been quite exciting in that side of the business. And I think what really helped us, George was being at NACS, North American Convenience Store Show, because customers – potential customers could go look at our product and our customers’ product.  And there is a clear difference between us and the competitors. So it really helped to solidify in our potential new customers’ minds that we’ve got the best technology out there. What’s very encouraging also is the calls that we are receiving from restaurant companies.  As I start the conversation by saying, look, we are on hold for the next 90 days, we are working through labor issues, we are working through, I mean, I don’t know, if you’ve heard some restaurants have run out of straws, some restaurants have run out of coffee cup covers. It’s just amazing stories.  But they’ve been told to get help for the back of the house. And one CEO I talk to, he said that’s the most difficult part to hire is the back of the house, could you think about the waiters and waitresses are all making tips and all that and the back of the house is not, in fact, one restaurant company is adding a line on their check for a tip for the back of the house and the restaurant company is going to match that tip dollar-for-dollar, because of trying to recruit people for the back of the house. And the restaurant company is going to match that tip dollar-for-dollar because of trying to recruit people for the back of the house.  So, the calls that we are getting is almost a panic – in a panic way which is help, how can you help us? We are now looking at the back of the house. We now need to drive labor out. We now need to get more efficient. And the fact that we have one customer that’s given us an idea of the new product that we are starting to work on right now and it’s one we just never thought of because it’s time-consuming for this one kind of restaurant and it’s a certain segment of the market. So, we are really encouraged George.  We came out of the pandemic with some very stiff headwinds because everybody was closed. Now we are coming out of it. The casino markets taken off and it’s great. I just hope we can get all the printers we can, because the orders are just flowing in.  But we do feel the tailwinds from both the convenient store market and the restaurant market, because one is trying to get into fresh food and moving trying to get it very quickly. And the other is in dire need for help on their labor issues. I don’t think it’s unknown to everybody that $15 an hour now is the average if not the low end of the wait scale. And so, I am very encouraged. I think, it’s given us a lot of momentum.  It might take a little longer to close these deals and that’s okay, you know what this and how much we can do about that. But the amount of deals that we are working on, the amount of excitement inside the business is pretty exciting. 
George Sutton: One other question if I could? I know, you have been going to market with Apple now. And I wondered if you could just either quantify the pipeline or just give us some perspective of what kind of success you expect particularly on the restaurant side with Apple? 
Bart Shuldman: The good thing about Apple is, if you look at our solution, right, if you look at our workstation, we have to have a tablet, right? So, if you look at the total cost of our hardware solution, it’s the workstation itself, which is this device that is two printers and cordless communication. We got BOHA! link it where we communicate to the printers wirelessly and all that. We don’t use Bluetooth. But then you need a tablet.  And with Apple going out and convincing restaurant companies across the board to start using the iPad. What happens to our solution towards is we become cheap in a way, because now the restaurant company has made a decision, not because of our technology, but because they want an iPad in every restaurant or two or three.  Now that part of the cost side of the conversation with the customer goes away. Oh, you already have an iPad. Well, now all you need is the workstation. So, it’s actually been extremely helpful for us and of course, where they have gone into restaurants and sold, of course, they are sharing that information with us. I will say that, I am finding them to be very attentive and very interested in our success.  I now have a weekly call with them personally. And we are really trying to align our efforts together. Their vision of the marketplace is, the iPad becomes the device for the front, middle and back of the house. And their partners, let’s call it partners or their friends, whatever they want to call, will be the ones that benefit.  So what their big goal is, is that that iPad controls everything within the restaurant and then all of us that are providing the technology to go on that iPad win. So, it’s very encouraging and it does help us in the price of our technology, because we don’t have to include that anymore. They’ve gone and sold it. 
George Sutton: Gotcha. Okay. Great. Thanks for your help. Congrats on the results. 
Bart Shuldman: Yes. Thanks. George. 
George Sutton: Yes. 
Operator: Thank you. We’ll take our next question from Jeff Martin with ROTH Capital Partners. 
Jeff Martin: Thanks. Good afternoon. Bart, Steve, how are you? 
Bart Shuldman: Good, Jeff. 
Steve DeMartino: Hey, Jeff. How are you doing? 
Jeff Martin: Doing well. Thanks. I was wondering if you could quantify or give a relative comparison, the uplift in FST ARR that you saw or experienced in September and are seeing so far in October. How does that compare relative to, say, second quarter average? Anything you can do to help either get back if I quantify. That will be helpful. 
Bart Shuldman: Yes. So, let’s talk about the third quarter. So, clearly, we saw an uptick in our software sales. So, if you look at Q3 versus Q2, we have more software sales and that’s because we are penetrating the restaurant market.  Remember, we haven’t announced a big deal, but we are closing little deals every day. 40 restaurants, 30 restaurants, 20 restaurants and there is a bigger amount of software in those deals than what we have in the convenience store market. So, our software sales are rising.  And one thing we got to remember, the third quarter of this year versus the third quarter of last year, we had that large one order that came through from one of our customers that was an overkill. So, even when we compare third quarter of this year to third quarter of last year, the third quarter of last year had some extra label sales that should have never happened. And so, our sales, actually this quarter, this third quarter was much higher than last year.  But what we are seeing is that, what happened in July and August was what I think the country saw a rise. We had a delta variant. Things started to slow down again as transactions slow down. Label sales slow down because the amount of goods or the amount of grab and go with the amount of what they are making goes down.  In September, as we kind of saw the Delta variant kind of slow down. Things really started opening again. We saw our label sales grow and grow a lot and we saw that continue into October. So, we are encouraged by that. But I would say, Steve, I think you would agree with me, it was the software sales that really was the difference between Q2 and Q3 in regards to increase. 
Jeff Martin: I think labels were up nicely too in their build up? 
Bart Shuldman: Yes. Yes. 
Jeff Martin: Okay, great.
Bart Shuldman: And then, we had our best software quarter – we had our best software quarter ever in the third quarter. 
Jeff Martin: Okay. Okay. And then, relative to your commentary around component and supply chain challenges. Did you feel any impact from that in Q3? Or is this a discussion that’s more relevant to Q4 and maybe the first part of next year?
Bart Shuldman: I’ll take it from the sales side. We were in that product in Q3, so – in the gaming side. The gaming side just kind of exploded on us and we couldn’t take any more orders. I’ve never seen anything like it and if you think it’s just electronics, it’s not.  Let me give you an example, I mean, we use light emitting sensors to watch paper move within our technology and our manufacturers, one the largest manufacturers of sensors couldn’t get the epoxy to glue the glass housing over the sensor. So, it’s not just electronic components. Steve, you want to talk about the shortages? 
Steve DeMartino: Yes. I mean, from a supply side, Jeff, like Bart said, we had them during the quarter. In some products, we completely depleted, like the gaming product, we actually completely depleted down to nothing. We are continuing to have what I would call like rolling stock outs where we might stock out of our products for a couple of weeks while we wait for a part to come in.  And then, we catch it back up. so, I guess the way to look at is we are hand them off. I think our group – our operations group is doing a really good job of getting the parts in any way that we possibly can. It’s costing us a little bit more and we have to sometimes pay more for the parts and then typically we have to fly the parts in which cost more. But we are doing okay. I mean, so far so good, but it definitely going to impact us in Q4. 
Jeff Martin: Okay. Okay, great. 
Steve DeMartino: And one last one if could, this new word called decommit and it’s not like we didn’t prepare for to place orders on our vendors. So – because we entered the year with a lot of inventory, but we – everybody was talking about part shortages. So we’ve placed our orders and you could be expecting a shipping on October 10, I am going to make this up.  But on October 9, I run to calls and say I am decommitting we are going to be a month late. So this is a new word that none of us have ever experienced before. So, where we really thought, we weren’t going to experience it that much this year. It’s a thing called decommit where we are now getting calls from vendors saying, we are going to be a month later. We are going to be two weeks later. And they don’t tell you until the day you are expecting it to ship. So, it’s a phenomenon that we are living with.  In the gaming side, the good news is, is we came out with a new Epic Edge printer for the casino market and not all the slot manufacturers had moved over to it and we are trying to end the life the 950. The good news is, we had Epic Edges in stock, because we had gone into production of the products.  So, it really helped to motivate our slot machine manufacturers around the world to move over to the edge. So our goal is to end of life now the 950. At the G2 Gaming Show, we actually had a sign up that said, Epic Edge in stock to kind of worse, the casino has to talk to the slot manufacturers to get them to integrate the Epic Edge. 
Bart Shuldman: Yes. But another thing that’s kind of – all these kind of going to embed is our competitors stocked out before we did, because we had such a large inventory position. So we got, I think we stole a bunch of market share probably in POS and in gaming just because we had product in stock. So that also kind of exacerbated our shortage issue, because we were selling more than we normally would because of that too. 
Jeff Martin: Okay. Great. And then, Bart, care to take a stab at a range of BOHA! terminal installs that you could foresee for 2022? 
Bart Shuldman: Great. It’s funny, Jeff, I have been working on that for the last couple hours, right. I’d figured you’d ask that question. So I was adding up all the opportunities and it’s in five digits. I won’t give you a number but it’s over 10,000 terminals that we are working on. And it’s just – the thing I can’t – it’s what we can commit to is, when will the customer be ready.  They are very motivated. They’ve got this labor issue. They want to work on the back of the house. We’ve got new convenience stores that want to do fresh food. I think those will close. I think, there, we’ve got a better shot at because, that’s a revenue. That can drive more revenue for the convenience stores. It’s the restaurants that’s hard to quantify when they will close.  We are working on some big deals and the roll out is what’s – what they are looking at saying, okay, how can we do the roll out when we don’t even up in that. We have some restaurants that are closing at 5 o'clock, because they can’t – they have nobody to work at night. So, it’s hard to handicap that, Jeff. But I can tell you that that our opportunities is in the five digits in the next year. 
Jeff Martin: Thank you. Look forward to getting more of an update as we get into 2022. Thanks for your time. 
Operator: Thank you.  We will hear next from Chris Howe with Barrington Research. 
Chris Howe : Hi, Bart. Hi, Steve. Good afternoon. 
Bart Shuldman: Hey, Chris. 
Steve DeMartino: Hey, Chris. 
Chris Howe : Hey. You’ve talked about it a little bit. But I wanted to ask a question perhaps in a different way. With the challenges that essentially everyone is seeing at different ends of the supply chain causing things to get pushed out.  Can you maybe talk about how this environment has made the sales process simpler and that it’s highlighted the need in the back of the house more so than ever and perhaps your pipeline of opportunities is accelerating faster than you have perhaps anticipated as we go into the later part of this recovery? 
Bart Shuldman: There is no doubt, Chris. I think, in the restaurants I personally talk to, I talk to our sales people, almost every day and we are just chatting about what we are hearing. In the old days you just hired another body, right? Okay, I need to take temperature of this new food that we are making, $8 an hour, just put a body there and now it’s $15 an hour, they now want to bring college education and full medical and all that.  So, now a body is expensive. I think it’s – look, I think the last two years through the pandemic the talk was, the front of the house, right. It was online ordering. It was delivery. It was the only way for restaurants to stay open and companies OLO did great with working with restaurants that they didn’t have delivery or online ordering they were closed.  I think the next two to three years the stories can be technology and the technology for the back of the house. I mean, the only way to get out of this labor issue, especially the back of the house where that you got a lot of labor and it’s very difficult to hire, talk to any CEO of a restaurant company, they’ll tell you the back of the restaurant is the challenge.  It’s just hard to hire. Literally, there is somebody putting a new line on a bill for the back of the house staff to tip them. So they can fry and drive more income to the back of the house people. I think the next two three years is easily the story of technology for the back of the house and this is – it’s driven the market to open up.  Now, we just got to get through in the next couple of months or month or two, today, you heard some good news. Some government personnel I think came out and said, I think the supply chain is getting better. I think Fedex and UPS have that they are just going to be stopped from the shelves for Christmas and all that.  I think we are all waiting to see it. But I think once we get through that, I think this is just going to be a great time for our company and anybody else that’s trying to get technology into the restaurants, I think that’s what the story is going to be. 
Chris Howe : And that kind of leads me to my follow-up question. That’s very helpful, by the way. As we move from these larger opportunities to the SMB market, can you talk about the SMB market? How that performed in the quarter? And as we think about the SMB market in the context of the overall business, given the shorter cycle of this business, could it in the long run be a more reliable, predictable stream of revenue for TransAct? 
Bart Shuldman: Yes, it’s a great question, Chris. Well, we had to hire. We had to add another sales person. We are seeing that market pick up. We are doing a fair amount of marketing as we – Steve talked to everybody about this spending that we are doing.  We are about to kick off another major marketing program and what happens is, you get somebody that’s got 20 restaurants that’s facing the same issue that a larger corporation is facing, but they can move a lot quicker and that’s what we are seeing.  So, we are seeing the SMB business move a lot quicker. And that’s what’s picked up. You look at how many terminals we installed and all that outside of our existing customers that are adding. A lot of that new business was all SMB. So we had to add it. We’ll probably add another person. We are going to kick off a major marketing program again.  Just yesterday, my marketing manager called me and got two new leads just from some marketing that we are doing and how we are positioning our marketing and some of our investors are seeing, because you say meeting me, I’ll say yes, so there is some convenience store I saw this national restaurant news our ads and all that and it’s resonating.  We are trying to really focus in on the issue of labor, on food safety, which is a major issue and it’s resonating. But clearly, the smaller people can act and react a lot quickly and we are seeing that. 
Chris Howe : That’s great. Thanks for taking my questions. Appreciate the time. 
Bart Shuldman: You got that. And yes, thank you. 
Operator: Thank you.  And it appears we have no further questions in the queue. I’d like to turn the conference back over to management for any additional or closing remarks. 
Bart Shuldman: Well, fantastic. Well, we thank you for your support. We thank our shareholders for your support. We are working hard. Yes, I got to be honest. I’ve never seen business like this where part shortages and labor shortages all hit at the same time, inflation, like I said, we are dealing with some of this by raising prices. So we are not absorbing all the cost increases. So, that’s – and I think that will hold. But I’ve never seen a world like this and I look forward to getting to the end of this. I thought we saw enough when the pandemic hit and now we are coming out of it and seeing that on this side.  But as Chris just talked about, I think it’s an exciting time for the company, because all of these issues is highlighting to restaurants convenience stores, food service providers, kiosk companies that are selling food and grocery stores and all that that’s driving cost savings, labor efficiency, productivity is going to be the way of the future and that’s what we do for a living. So, I do think that the next couple of years, it will be pretty exciting for us.  I do thank our employees what they had to go through and I am sure everybody’s firms had to go through this, but I do thank the TransAct employees. They just did a fantastic job. We are all back together. I am in our Las Vegas office. It’s a very exciting time here. It’s great to see everybody working together again. We did - we are a 100% vaccinated.  So we are able to open up 100%. So, look, I thank our shareholders for your support. I look forward to continuing our conversation with you and look forward looking out of couple of years and seeing the success of what we’ve been able to create. So, look forward to talking to you after week after the New Year. Happy Thanksgiving, and if I don’t talk, you have a Happy New Year. Thanks. 
Operator: Thank you. It does conclude today’s conference. We thank you all for your participation. You may now disconnect. 